Operator: Welcome to Shaw Communications’ Fiscal 2014 Second Quarter Conference Call. Today’s call will be hosted by Mr. Brad Shaw, CEO of Shaw Communications. At this time, all participants are in a listen-only mode. Following the presentation, there will be a question-and-answer session. Please also note that an investor slide presentation in relation to the conference call is posted in the Investor Relations section of the Shaw website under Presentations and Meetings and Press Releases. (Operator Instructions) If the press has any questions, please contact Mr. Shaw’s office after the call. Before we begin, management would like to remind listeners that comments made during today’s call will include forward-looking information and there are risks and actual results could differ materially. Please refer to the company’s publicly filed documents for more details on assumptions and risks. Mr. Shaw, I will now turn the conference call over to you.
Brad Shaw: Thank you, operator, and thanks to everyone for joining us today to discuss our second quarter fiscal 2014 results. With me today are members of our senior management team, including Peter Bissonnette, President; Steve Wilson, Executive Vice President, Corporate Development and CFO; Jay Mehr, Executive Vice President and Chief Operating Officer; and Paul Robertson, Executive Vice President and President of Shaw Media. Earlier today, we released our Q2 financial and operating results, which represent the ongoing execution of our strategic priorities and our focus on sustainable pricing initiatives. We continue to leverage our leading network infrastructure and our high-quality content to drive profitability and long-term growth. We saw an improvement in subscriber metrics for all of our products, particularly in broadband, where we added almost 13,000 customers, our best result in the last seven quarters. Year-to-date, we have generated revenue and EBITDA growth, adjusted for net impact of acquisitions and disposition activity in fiscal 2014, up 3% and 1% respectively and free cash flow of $315 million. Q2 results were affected by softness in our Media division as advertising dollars shifted towards the Sochi Olympics more than expected. However, our strong specialty portfolio continued to deliver growth. Considering our year-to-date performance and expectations for the second half of the year, we remain on track to meet our consolidated fiscal 2014 guidance targets that were outlined in November. We expanded our Wi-Fi network with more than 35,000 access points throughout our footprint now available to customers. More and more customers are using and experiencing the benefits of our carrier-grade Wi-Fi network on a daily basis. This extension of our broadband service is improving retention and supporting the value proposition of our internet products. An important part of our Wi-Fi strategy has been to partner with municipalities to provide Wi-Fi services for residents and visitors of the communities. We have now successfully entered into over 40 agreements, which include all the major municipalities within our footprint. As we expand and create more awareness of our Wi-Fi network, we believe that Shaw broadband experience will continue to set us apart from the competition. During the quarter, we released our eighth Shaw TV Everywhere app, HISTORY Go, which includes approximately 300 hours of popular programming, including the Vikings, last year’s number one specialty drama and Yukon Gold, the network’s top Canadian unscripted program in 2013. Earlier this week, we announced three additional kids apps, Shaw Go Family, Disney XD, and Disney Junior and now available and provide access to popular children shows. We remain dedicated to providing TV subscribers greater choice and flexibility over what they watch, how they watch, and when they watch their favorite content. This now includes over 2,200 hours of content available for viewing across all our Shaw Go apps. In January, we successfully completed an $800 million financing transaction, which further extends our maturity profile and lowers our overall cost of debt. We used $600 million of the proceeds for early redemption of our 6.5% senior notes, which were originally due in 2014 – June 2014. At the end of Q2, we continue to have significant liquidity with over $440 million of cash available in an undrawn $1 billion credit facility. Net debt of 2.0 times is at the low end of our range of 2 times to 2.5 times, which continues to provide us with tremendous flexibility. We have recognized that in order to compete effectively in today’s environment we need to proactively identify and capitalize on revenue and cost efficiencies within our business. As we enter into the back half of F14, we remain committed to executing on our strategic priorities, specifically operational efficiencies. Following our announcement in December regarding changes to our senior leadership team, we have recently combined both our engineering and IT departments bringing these two groups together under common technology and network operations group. We will be more focused on prioritizing strategic projects and efficiently delivering innovative products and services to all of our customers. We will continue to evaluate additional opportunities across all aspects of our business and we will be providing more information regarding this progress, including other organizational improvements over the coming quarters. Thanks to everyone for joining us today and we would now like to open the phones to answer any questions, operator.
Operator: (Operator Instructions) We’ll go ahead with our first question from Jeff Fan from Scotiabank. Please go ahead.
Jeff Fan: Thanks and good afternoon everyone. My question is on the Wi-Fi, it’s been a couple of quarters since you guys gave us some metrics on penetration of how many subscribers you think are using it and maybe usage, wondering if you can just give us a bit of an update on that and also the churn impact that you are seeing with the Wi-Fi product? And then the second part to that is, in the U.S. we recently saw the SEC open a lot more spectrum specifically for Wi-Fi, I am just wondering on the spectrum front, whether you guys think that the Canadian government is open to doing that, whether there has been any discussions from you with them that would indicate that would allow you to get basically more capacity on to that network down the road? Thanks.
Brad Shaw: Thanks, Jeff. Brad here. I guess a couple of things on Wi-Fi, on the churn side we certainly still continue to see the benefits as customers sign up and use the service. And we continue to build out on our plan, our strategies to continue to build the network, continue to make sure customers do sign up. I can tell you that as we go along here we are extremely pleased with how customers are responding and reacting to the service. But I would also say that where we continue to see I think devices outpace the number of customers coming on. I think when they realize that they can get more than one device on, they are doing that, which is a real benefit I think for them and a real retention factor and a real value factor. So, we are seeing that and we are comfortable we have seen the same kind of trends, I think we would be somewhere above 400,000 in customers on the service. And we continue to make sure that we have more awareness around that and you are going to actually probably see us try to ensure that customers know it’s there. And the fact is I think once you sign up, you never have to sign up again to the service. We have people that go out to Eastern Canada and come back and bang, their Wi-Fi pops up, it’s right there, oh, I got Wi-Fi here, oh, I got here. So, we are getting a lot of feedback, lot of noise of both the real benefits of it, people finding it and using it, and we are certainly very pleased.
Peter Bissonnette: And hey, Jeff, it’s Peter Bissonnette. On the SEC’s decision recently to expand the amount of spectrum in the 5 gigahertz, as well as the outdoor power associated with that, we are very aware of what’s going in the U.S. and we have met with various Industry Canada representatives both from a – on their technical side as well as their administrative side of Industry Canada. And we have expressed a desire to see the same decision come from Industry Canada for Wi-Fi in Canada, because there is just little – it will become ever more important for us to have that spectrum available for us just in terms of making this the predominant, if you will, Wi-Fi or wireless spectrum that’s used by our Canadians. And with the 400,000 that Brad just mentioned, we are seeing much, much more awareness of the use of Wi-Fi and the spectrum really follows that. So, we are going to do everything we can to encourage the Industry Canada to do the same thing in Canada as they have in the SEC.
Jeff Fan: Maybe just one quick follow-up, I mean, we asked this of the wireless industry all the time, but based on the 400,000 customers that you see and looking at the usage pattern, how far roadmap do you think based on the existing on-license that’s out there today is available to you to ensure that there is no interference issues and the quality of the experience is still going to be very high?
Brad Shaw: Jeff, I guess a couple of things, one is being a managed Wi-Fi network, we usually take advantage of all the spectrum available to us. And I think that’s to our advantage. I think for us it becomes from a capacity point of view, you look at it. And with that, I think the managing of the network helps, but also when you look at things like we recently opened up the Olympics for Wi-Fi, we threw it open for everyone in Western Canada. We saw a huge pop in data usage. The network handled it very, very reasonably, no issues. We are still at a low throughput for all Wi-Fi customers. We have some upside there. So, we are sensitive to that. We realized that it’s – there is not an ever-ending spectrum there, but – and that’s why it’s even your previous question on spectrum is important to kind of move Wi-Fi along and hopefully with the steps that U.S. has made, Canada will look at that. So, we are still comfortable that we have spectrum available there. We are seeing people use it in ways that huge amount of data and yet we have certainly been able to manage any of those areas that are heavily used.
Jeff Fan: Okay, thanks guys.
Operator: Thank you. Our next question comes from Vince Valentini from TD Securities. Please go ahead.
Vince Valentini: Yes, thanks very much. Question on the operating costs, so you seem to be sort of hinting at some sort of belt tightening activities, I am wondering if you can flush that out in anymore detail is just – is something is it sort of big restructuring costs coming or is this just looking for best practices and finding ways to be more efficient without having to spend a lot of money? And I guess I would segue that question with the second quarter results, they seem to be quite a bit further down in terms of operating costs or operating costs were up in the Cable segment in the second quarter with increased promotions, I am wondering if that’s just sort of temporary if there are any timing issues or is this a new trend in the market?
Brad Shaw: Vince, I will take the first one, where we have been constantly looking at operational efficiencies and execution and delivering and this day and age of the Cable company and what we are dealing with, so you are going to continue to see those things. I think we have some good plans in place. And we are looking, no stones unturned here as we continue to make sure and ultimately you want to deliver as we look at things if customer experience is so important we want to structure that absolutely delivers that and gives us bandwidth to continue to grow in scale and have flexibility. And so we are continuing to look at how we operate, how we function, how we drive the business and where we are not driving it and what things we need to do to better prepare ourselves or better organize ourselves. So it’s a constant thing we are looking at and so it’s something that you are going to continue to see going forward.
Steve Wilson: In terms of cost structure, Vince from – in Q1 in cable our cost structure was $439 million and we are up $5 million to $441 million in Q2 and really that’s the few odds and sods here, mostly increased programming costs from annual rate increases and some other various expenses.
Vince Valentini: Sorry, Steve I kind of misspoke, in addition to that the cable revenue in the second quarter was down from the first quarter and in the MD&A you cited some sort of increased promotional activity. So I guess I was referring to that as much as that was the operating costs, can you comment at all on how sustainable that is?
Jay Mehr: Yes, Vince this is Jay. I mean we certainly understand the question and let us reconcile what you saw in Q2 cable revenue. We have not gone more aggressive in our promotions and we had really a very consistent promotioning offering throughout the fiscal year. As you know our focus is not in chasing the promotional business and we are focused on offering value and choice for our customers. Last year we moved to three months promotions. And we are there for a number of months and it was clear that market didn’t follow us. So we in September moved to six months promotions, which is fine and certainly it works with our customer profitability approach. But we just ended up as a result with the timing issue in Q2 where nobody was coming off promotions, so you had your normal amount of ads for that three months period and that’s in Q3 the pluses and minuses align again and revenue comes back nicely.
Vince Valentini: That’s great. Thanks.
Operator: Thank you. Our next question comes from Glen Campbell from Bank of America. Please go ahead.
Glen Campbell: Yes, thanks very much. So a couple of questions, first in media, you mentioned the, I guess advertising revenue displacement by the Olympics, could you give us a rough sense of how much that might have been?
Paul Robertson: It’s Paul here. Yes, it was less than $10 million in terms of the shift. And I think what’s a bit surprising for us was it came in – the shift came in very late in the quarter and so there seem to be a lot of inventory available to give access to new advertisers and to augment the buys of existing advertisers. So we were kind of surprised with the amount of revenue that rerouted late in the quarter and that’s kind of – that took us by surprise a little bit.
Glen Campbell: Okay, thanks. And then another one on Wi-Fi, we have seen some U.S. operators go ahead with this home spot strategy where the customer gateways are opened up for access to other customers, so is this something you thought about and then if so can you talk about the pros and cons from a Shaw perspective?
Brad Shaw: Well, I think as you look at it, it certainly becomes an opportunity to expand your current public and private Wi-Fi network. I think there is with the technology the way it is, it’s something that we continue to look at I think it makes sense that it should be part of your Wi-Fi plans. And listen Wi-Fi is going to be so important in the home you need to have a quality network, you need to have quality modem and that’s really something we are really focused on is to have quality on the levels of whatever network we are developing through Wi-Fi. And that’s where we feel we are in a good spot and that’s what we are going to continue to do, but it is an option for us. We still continue to build out the public and private Wi-Fi that is our focus. But we are well aware of what’s going on in the U.S.
Glen Campbell: Okay, thanks. And one last one if I may, very strong sub-performance in the quarter on cable, could you give us the sense of whether this was due to churn reduction or better loadings and to the extent this is repeatable through the balance of the year?
Jay Mehr: Sure, it’s Jay again. Certainly the turnaround in the cable numbers were absolutely caused by fewer disconnects and marketplace is settling down. We are experiencing the benefits of many quarters of lighter promotional aggressiveness which obviously helps you on your churn. And the lower churn from our Wi-Fi enabled internet customers now when you multiply the difference against the household numbers that Brad talked about that are now using the service, it’s now enough to have a directional impact on the quarterly numbers.
Glen Campbell: That all makes sense. It’s quite sudden, the change, that’s why I guess the question. So, I am just wondering what was different this quarter?
Jay Mehr: I, speaking plainly, we believe our differentiated internet product and all of the advertising that came around it has given us some tailwinds. And we are having greater success in the marketplace.
Glen Campbell: Okay, thanks very much.
Operator: Thank you. Our next question comes from Phillip Huang from Barclays. Please go ahead.
Phillip Huang: Yes, thanks. Good afternoon guys. Just to follow up with the prior question there, wanted to ask certainly it was a positive surprise for me to see those strong Cable subscriber results. I was wondering whether you guys are seeing any additional promotions from the competition at all perhaps in response to the increased presence of Wi-Fi?
Jay Mehr: Yes. I think you have probably seen that there has been a little bit of 15, 15, 15 plus in the marketplace, whether it be for 6 or 12 months or any little push at the end of our primary competitor’s quarters. We are focused on delivering value and choice. And so we are not going to – I mean, we have some experience couple of years ago here with the short-term discounts. And when you look at that kind of activity in its churn characteristics and its cost of acquisition and return on capital programming costs, we just get our heads around it. So, as we said before, we are quite comfortable with what’s happening in the marketplace and we are going to compete on a differentiated internet product.
Phillip Huang: Right. And just to follow up similarly for the satellite side of the business, certainly an improvement sequentially from the last quarter in terms of subscriber front. I know there is some seasonality to it as well, but I was wondering if you could give us an update on what you are seeing in the competitive environment so far?
Jay Mehr: Yes. We think the improvement on both sides of the business, Cable and satellite is sustainable. We believe they are sustainable. As you mentioned, there is an offset in seasonality on both sides of the business. On the Cable side, we do very well with university students on internet. So, we have a tough period here for the end of April. And on satellite Q2 is – Q3 is usually a slightly tougher quarter than Q2, but Q4 is a lot better. So, the seasonality point of view is there, but I think I still look at Q2 as a Canadian business you are trending on. In terms of the turnaround on satellite, we are proud of the work team has done. It’s a reflection of focus and it’s also maybe a reflection of segmentation both from a pricing and marketing point of view. And so we haven’t seen material shifts in some of the intensely competitive areas. So, we have been able to focus very deeply on those areas that aren’t as competitive in order to shift some of the gain. So, we are proud of what the team has done and we are equally proud of what they have done on success base to turn the subscriber story around while also being more focused on success.
Phillip Huang: Great. Great, that’s very helpful. And then the final one for me, just given the growing trend towards video consumption through streaming, I was wondering if you could give us an update on your thoughts behind how Shaw will capitalize on this trend? I know you have recently launched three additional Shaw Go apps, I think to show kids programming on mobile devices, but could we see the launch of a more integrated over-the-top service to better address the segment in the future soon?
Brad Shaw: Phillip, it’s Brad here. I think you continue to look and we realize TV Everywhere is part of our strategy, part of being able to serve customers. I think you are looking at different things that are going on in different markets, not only our own, but down in the U.S. and other things and just looking at what other options are there, whether the guys are doing so. You are having somewhat of those things having those conversations. And unfortunately, a lot of people have different views, different strategies and different plans. So, I think you are dealing with that somewhat too.
Phillip Huang: That’s very helpful. Thanks very much.
Operator: Thank you. Our next question comes from Tim Casey from BMO. Please go ahead.
Tim Casey: Thanks. So I was wondering if we could talk a little bit about pricing beyond just the short-term promotional aspect of it, how are you approaching pricing power across video, data and voice. And what are you hearing back from customers in terms of your ability to put through price increases? Thanks.
Brad Shaw: We are on sort of annual, not sort of we are on an annual rate adjustment period that happened in September. And I think it would be reasonable to assume given the amount of growth in data usage in the network that there would be another rate adjustment this coming September. Certainly the focus is on data from a pricing perspective because that’s where there is the major shift in usage. We don’t see a lot of focus on pricing on the video and voice side. Certainly in terms of the marketplace, the internet product and how it’s being consumed today find with Wi-Fi has given room for pricing to move. And then you look at some of the moves that have been made and the fact that internet churn has dropped dramatically even post those moves, I think it’s the story of us continuing major, major investments in internet capacity and some pricing adjustments (that go).
Tim Casey: Are you benefiting from a move among your customers to higher bucket plans, be they capacity or speed as well?
Brad Shaw: Yes, for sure.
Tim Casey: How – could you – can you quantify the two in terms of upgrading customers versus raw price increases, is there anyway you can give us some color on that?
Brad Shaw: I don’t think I can do it in a way that would be helpful for you without revealing stuff that hasn’t been previously disclosed.
Tim Casey: I understand. Thank you.
Operator: Thank you. Our next question comes from Greg MacDonald from Macquarie Capital. Please go ahead.
Greg MacDonald: Thanks. Good afternoon guys. Wanted to ask a question on the media side and I am curious about some comments that Rogers made recently to regulators about what they call dramatic changes in the broadcast revenue model and I think they were specifically referring to sort of the technology changes, move toward over the top viewership and what that might do to the broadcast model. Now, I admit they were supporting their sports and spectrum strategies when talking about this, but could you guys just talk just generally about what you are seeing as the impact of these structural changes on the broadcast model and what do you see as the future over the next let’s call it two to three years for the broadcast model as a result?
Paul Robertson: Sure, it’s Paul here. There is no question we are seeing a shift across the various platforms in terms of where the audiences are trending and consequently where the advertising is showing up and conventional television being under the greatest pressure. So I mean conventional television is under pressure because of the shifts in the way in people consume news for one reason, where they are getting news more on a 24/7 basis through the internet and that’s causing a reduction of audiences on the major broadcast. So and then there is no question that as we see new competition coming in that’s unregulated that over the top of it we have longer term concerns as it relates to pressure that that puts on our business, the strength of Google and making deals on a worldwide basis with some of our customers. So these are some of the competitive impacts that we are dealing with. Now, like all businesses that face these various challenges, we get – we develop new strategies to address them. So one of them is to be able to monetize our digital based web offerings more effectively. Another is to make sure we are as efficient as possible through automation on the conventional television side. So we are not out of tricks to balance the challenges that we are seeing on the revenue side with cost reductions as well. And so that’s maybe a bit of flavor on that would jive with what you are hearing from Rogers.
Greg MacDonald: Paul, just as a quick follow-on, I want to make draw attention to Rogers’ comment that since December they have seen even a change in the revenue model that they have. Are you seeing anything like that? Are things changing that dramatically and that quickly?
Paul Robertson: No, I don’t know, I couldn’t relate to change that dynamic. I am sure they have felt that in one way or another, but I wouldn’t have built that in our business, no.
Greg MacDonald: Right, so this goes back to…
Paul Robertson: More gradual.
Greg MacDonald: This goes back to your comment on the temporariness of the impact on the Olympics do you expect a full bounce back to what we saw in sort of the Q4 growth rates or have things dampened down a bit since then?
Paul Robertson: Well, we started off the year with a tough first quarter. So, it was kind of a mucky year for advertising in total, but as we know the advertising can bounce around year-over-year depending on the client spending and that kind of thing. It’s just typical that you get some movement there. So, no, we don’t – we did feel that the reaction to the Olympics was a short-term reaction and that we would see it return to more normal patterns in the future. And that’s kind of a moderate rate of growth on the advertising side, but we are certainly not seeing the sky falling in anyway. We are seeing – we are quite optimistic, particularly among our specialty business, which continues to grow with confidence. And as I say, there is lots of opportunities to balance the cost side as well.
Steve Wilson: And Greg to put that in perspective as well, I will just say that on a year-to-date basis, the conventional network for us is still positive in terms of EBITDA.
Greg MacDonald: Okay, that’s helpful. Thanks, Steve.
Operator: Thank you. Our next question comes from Maher Yaghi from Desjardins. Please go ahead.
Maher Yaghi: Thank you for taking my question. Guys, I wanted to ask you a question about, when you look forward as you are transitioning and you mentioned IPTV in your discussion, MD&A, can you guide us about when you are going to launch that service? And when you look at experiences with, let’s say, HBO Go crashing in the U.S. on the premiere for Game of Thrones, when you look at your IPTV programming expansion conversion, how much can you be in terms of safety, in terms of broadband experience to the consumer? Do you fear that there could be some lapses from time-to-time as you transition to that programming?
Jay Mehr: Great. It’s Jay. I am not sure I am not going to be all that helpful for you today. In terms of differentiating between an over-the-top service and carrier-grade technology that we both have in our network today and are deploying I think that they are different experiences on don’t have any insight to the specific example that you cited. In terms of our IPTV strategy, I mean as we said in the past, like all of the cable companies are doing, we have made some foundational investments in the move to IP, where we are not in a position, where we are prepared to sort of fully announce our roadmap or give specific details on what’s going to happen over the next coming years. The investments that we have made so far are foundational.
Maher Yaghi: Okay, okay. And just one question about your Wi-Fi deployment, can you share with us some maybe quantitative or aspects of how that has improved your customer retention or lowered your churn for your customer base versus not having it maybe in some other regions, maybe like if you compare different regions where you have the Wi-Fi versus where you don’t have Wi-Fi, maybe you can share with us the churn rates?
Brad Shaw: So, I think when you look at it, it’s Brad here, we certainly see the benefit and the churn reduction in that. I don’t think we are prepared to give you what we are seeing, because where you do have a little bit of a moving target there, but there is no doubt of the benefit and it continues to show that trend. So, we are very pleased and happy with the churn results.
Maher Yaghi: Okay, thank you.
Operator: Thank you. Our next question comes from Rob Goff from Euro-Pac. Please go ahead.
Rob Goff: Thank you very much for taking my question. I have two questions if I could. The first would be on the internet, could you talk to the drivers behind the gains in the standalone internet subscribers. And then as a second question, could you talk about the headwinds you are facing from wireless local loop on your telephony?
Jay Mehr: Yes. Rob, it’s Jay again. So in terms of internet standalone, I think we have seen a fundamental shift in philosophy on our part here. We are a network and content company and it’s our intention to embrace that in all of its form. So while we previously would lead with video and all of our pricing was video based and you added the internet and voice and other services to it. Fully structured our organization now that it would be the place to go for people who love internet and if they want to add video and voice to that and that’s fantastic as well. And I think you have seen that in the growth of our internet standalone. And I think you are going to continue to see our internet standalone grow and I think we think it’s a good thing. In terms of wireless local loop, we certainly had a little blip around launch that was enough to be noticeable, but we haven’t seen any sort of growth trend from that blip.
Rob Goff: Okay, thank you. And if I may could ask, in terms of the progress you are experiencing on the (indiscernible) side of things?
Peter Bissonnette: We have had another good quarter at Shaw business. We actually are seeing greater momentum in the medium space at this particular point in time lot of competition in the small space based on price. And I think that’s probably driven by just where both of those spaces are in that market share cycle. So we are going to continue to drive in both of those spaces and we are very pleased with where we are so far.
Brad Shaw: And in terms of our guidance for it in line with our 20% projected growth increase in the business segment and we can also add as we have said before that the Envision acquisition which gave us access to 560 buildings locally here for connectivity has certainly helped to be able to spur along additional business. We have got 46 of the top 100 customers in Calgary and that’s been a very big positive for us is moving the needle forward here in business in the city.
Rob Goff: That’s great. Thank you very much.
Operator: Thank you. There are no further questions at this time. Please continue Mr. Shaw.
Brad Shaw: Thank you, operator and we will see everyone next time.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line and have a great day.